Operator: Good day, and thank you for standing by. Welcome to the CommScope 2024 Second Quarter Earnings Conference Call. [Operator Instructions] Please be advised that today's conference is being recorded. I would now like to hand the conference over to your first speaker today, Massimo DiSabato, VP of Investor Relations. Please go ahead.
Massimo DiSabato: Good morning, and thank you for joining us today to discuss CommScope's 2024 second quarter results. I'm Massimo DiSabato, Vice President of Investor Relations for CommScope. And with me on today's call are Chuck Treadway, President and CEO; and Kyle Lorentzen, Executive Vice President and CFO You can find the slides that accompany this report on our Investor Relations website. Please note that some of our comments today will contain forward-looking statements based on our current view of our business. and actual future results may differ materially. Please see our recent SEC filings, which identify the principal risks and uncertainties that could affect future performance. Before I turn the call over to Chuck, I have a few housekeeping items to review. Today, we will discuss certain adjusted or non-GAAP financial measures, which are described in more detail in this morning's earnings materials. Reconciliations of non-GAAP financial measures and other associated disclosures are contained in our earnings materials and posted on our website. All references during today's discussion will be to our adjusted results. All quarterly growth rates described during today's presentation are on a year-over-year basis unless otherwise noted. I'll now turn the call over to our President and CEO, Chuck Treadway.
Chuck Treadway: Thank you, Massimo. Good morning, everyone. I'll begin on Slide 2. In the second quarter, CommScope delivered net sales of $1.387 billion and adjusted EBITDA of $302 million driven by strength in our CCS and OWN segments. For core CommScope, which excludes the OWN and DAS businesses, we reported net sales of $1.05 billion and core adjusted EBITDA of $201 million for the second quarter of 2024. I will start my comments today addressing the recently announced deal to sell our OWN and DAS businesses to Amphenol. As we have discussed in previous calls, we have been exploring alternatives to optimize our capital structure. One of the alternatives we mentioned was asset sales. We believe that the OWN and DAS deal offers significant value at an opportune time for a strategic buyer. The deal is expected to close in the first half of 2025 and giving us time to evaluate how to best manage proceeds, though we intend to use this flexibility to reduce debt and/or delever through accretive investment. I want to thank our OWN and DAS teams for all they have done for CommScope. For our customers and employees, Amphenol represents an ideal home for these businesses next phase of growth. Moving forward, our core business will consist of CCS, ANS and core NICS. Core NICS will now consist of RUCKUS and small cell. Our second quarter core business performance was mixed with strength in CCS and continued weakness in ANS and NICS. As I've mentioned in past earnings calls, we continue to control what we can. While our core revenue was down 17%, our adjusted EBITDA was essentially flat. Adjusted EBITDA as a percentage of sales increased from 15.9% to 19.1%. This improvement has been driven by our CommScope NEXT program. We have focused on very specific initiatives in all areas of our business to enhance profitability. Now I'd like to give you an update on each of our businesses. In the second quarter, CCS continued to improve order rates as customer inventory continues to normalize and demand has improved. Although we saw sequential order and revenue improvement in all businesses, we're experiencing stronger recovery in building and data center than in broadband. Our building and data center business is seeing very strong demand from hyperscale and cloud. The need for bandwidth and data center capacity driven by enhanced GenAI has resulted in substantial growth in this area of our business. We are well positioned as one of the market leaders in MPO cable and connectors. The outlook is very strong with our customers signaling robust growth in data centers over the next several years. Currently, we are assessing the demand requirement and are investing in capacity to meet that demand. In the first half of the year, we've installed capacity to drive $100 million of incremental annualized revenue. These investments are highly accretive to EBITDA with returns expected in less than six months. In addition to capacity, we continue to launch new products in our building and data center business to drive additional growth. Turning our attention to Broadband. We have seen orders improve sequentially from the first quarter to the second quarter. Since the beginning of last year, customer inventory levels continue to improve, driving increased sequential order rates. However, demand remains low relative to '21 and '22. Customers continue to assess their upgrades, including evaluating the impact of BEAD and other federal funding programs on their build plans. Although we remain bullish on broadband, a level of uncertainty remains on the timing of a true demand recovery and the timing of BEAD. As we have previously mentioned, we are well prepared for the recovery and the BEAD program. We have ample capacity to meet the expected higher demands, and we have a full suite of BABA-compliant products. The latest market feedback suggests that BEAD program is now pushed to the second half of 2025. As we move into the second half of the year, based on continued strength in building and data center, we would expect CCS revenue and adjusted EBITDA tracking closer to the second quarter levels than the first quarter levels. Turning to core NICS, which excludes DAS. We continue to see depressed market conditions as our channel digest inventory built in the second half of 2023. Although EBITDA improved sequentially, core NICS delivered negative EBITDA in the second quarter, driven by lower revenue and inventory write-offs. Despite challenges in the first half, we feel optimistic on a stronger second half as RUCKUS channel inventory has stabilized and demand is improving. In RUCKUS, we have strong visibility to channel inventory. Current inventory levels are back to what we would consider normal. In addition to normalized inventory and subsequent demand, we are gaining traction on several RUCKUS initiatives, including our Wi-Fi 7 launch, RUCKUS One and vertical market strategy. During the second quarter, we continue to make strides in our RUCKUS subscription and SaaS offerings. We remain bullish on our core NICS business. Finishing our core businesses with ANS, as previously mentioned, the first half of 2024 was historically weak due to our customers being faced with larger-than-expected inventory and navigating the choices for next-generation HFC architecture. Despite this, we believe the ANS segment is well positioned to take advantage of the latest upgrade cycle with the breadth of new products, including virtual CMTS, nodes, amplifiers, RPD and RMB modules and remote OLTs for node PON. This, coupled with our legacy technology installed base, allows us maximum flexibility for customer upgrades. An example of a new product development we are excited about is unified DOCSIS 4.0 that we are developing with our silicon partner and customers. The unified product will allow operators to choose ESD and our full deep Duplex DOCSIS, providing scale and flexibility. In addition, we have significant opportunities to partner with our expansive legacy installed base to quickly and effectively improve their customers' experience with only a software upgrade and modem change. Our recently commercialized DOCSIS 3.1E software upgrade, allows our customers to dramatically increase their network performance. An example of a recent win was with a major Tier 1 service provider upgrading to DOCSIS 3.1E and achieving speeds of 4 gigabits per second down and 1 gigabits per second up. During the second quarter, we purchased the HFC assets of Casa Systems. This acquisition provides us with cash flow from their legacy customer base and new products such as the virtualized CMTS and upgraded PON products. This acquisition will be deleveraging. In the short time, we have owned Casa, we have had several inquiries about virtualized CCAP with Tier 1 and Tier 2 customers. In addition to the Casa acquisition, we have finalized agreements with a large Tier 1 customer on FDX products. These products will begin shipping in the second half of 2024 with a significant ramp in the first half of 2025. The real question with our ANS business is the timing and magnitude of the upcoming upgrade cycle. Although customers have indicated a fairly aggressive upgrade cycle over the next several years, many of these upgrades appear to be pushing out. The timing and the magnitude of these upgrade cycles will be an important driver of revenue and profitability for ANS. We are continuing to navigate our business through varying market conditions. Although we are bullish, medium and long term, timing and magnitude of demand improvement remains uncertain. For our core businesses, we believe we are well positioned to take advantage of a demand rebound with ample capacity and the right product offerings. We will continue to control what we can, including supporting our customers as they navigate through their requirements. And with that, I'd like to turn things over to Kyle to talk more about our second quarter results.
Kyle Lorentzen: Thank you, Chuck, and good morning, everyone. I'll start with an overview of our second quarter 2024 results on Slide 3. For the second quarter, CommScope reported net sales of $1.387 billion, a decrease of 13% from prior year, driven by declines in ANS and NICS. Adjusted EBITDA of $302 million increased by 20%. Adjusted EPS of $0.34 per share increased 100%. We experienced improved sequential revenue driven by inventory normalization and increasing demand in CCS and OWN. For core CommScope, which excludes the OWN and DAS businesses, we reported net sales of $1.054 billion, which declined 17% from prior year. Core adjusted EBITDA of $201 million for the second quarter of 2024 was essentially flat with prior year of $202 million. Our adjusted EBITDA as a percentage of revenues increased by 320 basis points as we continue to manage what we can control, including costs. Core CommScope backlog ended the quarter at $898 million, up versus the end of the first quarter. As mentioned previously in all of our businesses, we are back to normalized backlog levels. Order rates are the direct driver of revenues. As Chuck mentioned earlier, we saw an increase in order rates from the first quarter to the second quarter 2024, particularly in CCS and NICS. Although this is a positive sign, we continue to lag well behind 2021 and 2022 revenue levels. Turning now to our second quarter highlights on Slide 4. Starting with CCS, net sales of $728 million increased 5% from the prior year. CCS adjusted EBITDA of $171 million increased 107% from the prior year, driven primarily by cost reductions and favorable product mix. CCS adjusted EBITDA as a percentage of revenue for the quarter was 23.5%, driven by mix, cost savings and favorable onetime cost adjustments. Although we expect CCS adjusted EBITDA as a percentage of revenue to remain strong, we would not expect it to remain at these levels in the second half. The CCS revenue increase is being driven by the building and data center business, particularly the hyperscale and cloud business. On a sequential basis, revenue was up 20%. Despite the pickup in order rates, these order rates still remain low relative to historical levels in 2021 and 2022. Although CCS order rates improved and customer conversations remain bullish on medium- and long-term growth, the short-term demand profile still remains uncertain. Core NICS net sales of $132 million decreased by 44% versus the second quarter of 2023. Core NICS adjusted EBITDA of negative $3 million decreased $59 million from the prior year, driven primarily by the decline in RUCKUS revenue and inventory write-offs. As indicated, first quarter and second quarter revenue and adjusted EBITDA were impacted by the higher-than-normal channel inventory that resulted from the release of substantial product out of backlog in the second and third quarter of 2023. As expected, the overhang from channel inventory lasted through the first half of 2024. Toward the end of the second quarter, we saw a normalization of inventory that will support improved sequential third quarter 2024 revenues. We continue to drive our RUCKUS One and Wi-Fi 7 initiatives. With these new products and vertical market focus, we are well positioned to take market share in the medium and long term. ANS net sales of $193 million decreased 43% from the prior year due to customer inventory adjustments and upgrade delays. ANS adjusted EBITDA of $33 million was down $30 million or 47% from the prior year driven by lower revenue. The ANS market continues to be challenging as customers deal with excess inventory and delayed upgrade cycles. Although we expect to see a stronger second half of the year, this comes off a historically low first half of 2024. Our launching of FDX products should have a positive impact on the business over the next several quarters. The business remains well positioned to take advantage of upgrade cycles as we are the supplier with the largest installed base and the entire suite of products. Performance will be driven by the speed and magnitude of the upcoming upgrade cycle that is in early stages. Finally, during the second quarter, we completed the acquisition of certain cable business assets of Casa Systems for a purchase price of $45 million. Finally, after the quarter closed, we announced the divestiture of our OWN and DAS businesses to Amphenol. We expect the deal to close in the first half of 2025. Net sales of these two businesses of $333 million was an increase of 4% from the prior year, driven by OWN. Order rates in this segment increased in the second quarter as the large service providers work through inventory and an increased spending on upgrades. In addition, we continue to aggressively manage costs in this segment. OWN and DAS adjusted EBITDA of $101 million increased 66% from the prior year. We expect third quarter OWN and DAS revenue adjusted EBITDA to decrease compared to the second quarter. As we move into the third quarter, we will report these businesses as held for sale. Turning to Slide 5 for an update on cash flow. During the quarter, we generated cash flow from operations of $51 million and adjusted free cash flow of $69 million. 2024 second quarter cash flow from operations declined from the prior year as a result of working capital needs. Turning to Slide 6 for an update on our liquidity and capital structure. During the second quarter, our cash and liquidity remains strong. We ended the quarter with $346 million in global cash and total available cash and liquidity of roughly $880 million. During the quarter, our cash balance decreased by $11 million primarily as a result of the cash paid for the Casa acquisition. We did not draw on our ABL revolver during the second quarter and therefore, ended the quarter with no outstanding balance. During the quarter, we paid the required $8 million of term loan amortization. We purchased no debt on the open market. Going forward, we intend to continue to use cash opportunistically to buy back securities across the breadth of our capital structure. The company ended the quarter with net leverage ratio of 9.7x, down from the prior quarter of 9.9x. I'm now turning to Slide 7, where I will conclude my prepared remarks with some commentary around our expectation for the remainder of 2024. In our core business, we saw a strong recovery in our CCS business driven by data center GenAI growth. We expect that this trend will continue. Unfortunately, the core NICS and ANS segments continue to lag as the demand environment remains uncertain. Although we see some positives for second half improvements in these two businesses, we remain cautious. We would expect small sequential core revenue and adjusted EBITDA improvement in the third quarter. Based on current visibility, our full year core adjusted EBITDA guidepost is expected to be between $700 million to $800 million with breakeven adjusted free cash flow. We continue to control what we can control, including managing costs and supporting our customers. Our core adjusted EBITDA as a percentage of revenue improved from 15.9% in the second quarter of 2023 to 19.1% in the second quarter of 2024. This is a testament to our priority to control what we can control and improve longer-term profitability. Finally, I would like to address our capital structure. We continue to evaluate alternatives, including use of OWN and DAS proceeds, additional asset sales, exchanges and new financing to address the 2025 maturity and beyond. We expect to engage with our current lenders in the third quarter. As previously mentioned, our credit documents are very flexible. We intend to use this flexibility as we evaluate alternatives. For today's call, we will not be making further comments with respect to our capital structure. However, we will provide updates as appropriate. And with that, I'd like to give the floor back to Chuck for some closing remarks.
Chuck Treadway: Thank you, Kyle. While we are generally pleased with our second quarter results, specifically with the strength in CCS, uncertainty continues to remain in our other core businesses. Although off of a low base, we would expect to see continued sequential improvement in our core business in the second half of 2024. I'm encouraged by our focus on items that we control, including new products, customer support and profitability. This focus positions us well for medium and long-term growth. And with that, we'll now open the line for questions.
Operator: [Operator Instructions] Our first question comes from Meta Marshall from Morgan Stanley. Your line is now open.
Meta Marshall: Great. Thanks. Maybe first question. Just particularly on the data center business within CCS, just -- are there opportunities for share gains? Is this rising tide less all boats? Just how are you thinking about the growth opportunity there? And then maybe a second question from me with the acquisition of the Casa assets, is there an opportunity to gain more share or in other elements of the business other than just with the Casa business?
Chuck Treadway: Yes. Thanks, Meta. I'd start by saying, I think we're well positioned for the data center and cloud GenAI projects. We've seen strong growth in this market in the first half. As -- we think GenAI is going to continue to increase and the intensity of our product, I think it's important to note is that we're using like 10x more than we would use our sales or 10x more than what we would normally sell in a normal CPU data center. And we're cautious when we think about how fast this is going to grow, we do think that it's going to be a strong market, but we're cautious in terms of the speed. We have short memories on this '22, what happened related to broadband, and we're just a little bit cautious there. But we are investing in capacity and new product development in the market, and we believe we have gained some share in the first half. Related to Casa acquisition, I think our customers -- first of all, our combined customers are very pleased with the deal. Because of Casa's financial situation, some projects were paused and now we're seeing some of this free up. We're also seeing some good traction with virtual CMTS with our legacy customer base. It's still early, but I'd say the combination of their virtual CMTS and ours is driving interest in addition to their existing installed base that they have. Our customers are pleased that we're able to take over and to provide that support.
Meta Marshall: Great. Thank you.
Operator: Thank you. Our next question comes from Samik Chatterjee from JPMorgan. Your line is open.
Samik Chatterjee: Hi. Thanks for taking my question. Pretty strong margins given the revenue declines you're seeing. Maybe if you can just help us in relation to how much of the CommScope NEXT program has already been realized to deliver some of this EBITDA performance? And how much more sort of is there further that you can sort of think of? Or is the scope of CommScope NEXT, something that you can expand upon to drive more EBITDA -- sort of more flow-through to the EBITDA given that the macro remains a bit more challenging? And I have a follow-up. Thank you.
Kyle Lorentzen: Yes. I mean, I think we obviously are pleased with the profitability performance of the business. I think as we've been mentioning in previous calls, we've been very focused during the downturn to match cost and position in the business to generate stronger profitability on a percentage basis. I think as we think about that moving forward, I think staying at these levels is achievable. There probably is some upside, but you should also remember that during any specific quarter, there are certain things that impact that profitability like mix, for example. I think as we think about moving forward in CommScope NEXT, I mean our CommScope NEXT initiatives are always evolving, and we're coming up with new projects. I think probably the thing to mention is we've been talking about this $100 million of cost savings that we've gone in and implemented. When we think about that $100 million, I would say that the large majority of that $100 million has been implemented and you're seeing it in the numbers now.
Chuck Treadway: The other thing I'd say is in terms of growth, our lead developer, [Rachel McGobbin] in the businesses in terms of seeing where the market is going and developing those products for the market. And on the cost side, the general-management model is also giving a lot of business ownership where our teams are really looking at the cost, really a lot closer than you could do at a corporate level.
Samik Chatterjee: Okay. Got it. And just for my follow-up, I mean, CCS similar sort of strong performance on margins. Are you able to comment whether the GenAI related opportunity that you're seeing is better or sort of in-line margin with the traditional opportunity with the broadband? And just a quick clarification for the guide, the $700 million to $800 million guidepost for the full year, what's the Q1 comparable number we should be using? We have the Q2, not sure I saw a Q1 number, which we should be using in there to sort of get the implied second half? Thank you.
Kyle Lorentzen: Yes. Just on the GenAI, I mean, we have -- we get slightly better margins on those products versus the broadband products, sort of, on an average basis. And then on the Q1 guide, I mean, I think it should be in the materials, but it's $201 million is the comparable adjusted EBITDA.
Chuck Treadway: That's Q2.
Kyle Lorentzen: Oh, I'm sorry, $92 million.
Samik Chatterjee: That's correct. Okay. Thank you.
Operator: Thank you. Our next question comes from George Notter from Jefferies. Your line is open.
George Notter: Hi, guys. Thanks very much. Just continuing on the profitability strength. I think you said in the monologue that CCS had a onetime favorable cost adjustment in the numbers. Could you just tell us what that was?
Kyle Lorentzen: This is some G&A cost and the timing of G&A. I mean it's not overly significant. It's between probably $5 million and $10 million in the quarter.
George Notter: Got it. Okay. And were there -- again, I'm just looking at the EBITDA performance of the business. Were there any other sort of onetime favorable item rolled through here that maybe you're not recurring? I guess I'm just trying to make sure that the EBITDA strength is sustainable.
Kyle Lorentzen: Yes, I think as we said in the prepared remarks and previous question, I mean, mix does drive some of that profitability as we move forward, I think we can maintain close to these levels. I don't think in the second half, we expect the profitability percentage to get considerably better. But I think if mix stays the way it is in Q2, we should be able to maintain those levels.
George Notter: Got it. Great. And then the other one I just had, could you tell us on the CCS business, could you just give us a sense for how much of that revenue mix goes to content providers or data center in general?
Kyle Lorentzen: Yes, about in our CCS business, about 15% of our business goes to that market.
George Notter: Great. Okay. Thank you.
Operator: Our next question comes from Steven Fox from Fox Advisors. Your line is open.
Steven Fox: Thank you. Good morning. First of all, a question on cash flows. I understand we're going to be looking at the ongoing business in terms of estimates for cash flows. But I would imagine for the next couple of quarters, you can get some cash flow off of those soon to be divested business. Is there any help on how much cash maybe we can expect off the OWN and DAS business going -- for why it's part of CommScope?
Kyle Lorentzen: I mean we're definitely -- I mean, we're not going to give you a specific number, but there's -- we obviously get the cash over the next few quarters between now and the close, we'll get that cash and that would be included in our cash forecast that we talked about, our guide to breakeven cash for the year.
Steven Fox: Okay. And then in terms of the CCS business, the conversion margins quarter-over-quarter are significant. Like it looks like sales were up $123 million. Profits went up $76 million. Can you break out sort of what was sort of typical conversion versus mix versus just cost savings from your initiatives and any further detail for CCS?
Kyle Lorentzen: I mean on the sequential improvement, clearly, the 20% increase that we had in CCS revenues, we don't see a big change in operating -- our period operating costs so we get leverage on that. I think as we think about the cost side versus the margins, the mix side, I think it's -- there's a component of cost in it, and there's a component of mix in it. I mean, we're not going to break it out, but I mean, there is a considerable amount of costs that we're managing out of the business that we've been talking about now for a few quarters.
Steven Fox: Maybe I can ask it one other way, real quickly as you just posted 23.5% CCS margins from that level. Like what's your typical conversion margin is going to be if we took the current mix of business?
Kyle Lorentzen: We would think that we'd be at the current mix of business, we'd expect to stay close to those margin levels.
Steven Fox: Okay. All right. Thank you.
Operator: [Operator Instructions] Our next question comes from Simon Leopold from Raymond James. Your line is open.
Simon Leopold: Thank you for taking the question. Just hopefully, simple clarification. On comment about 15% of CCS from cloud, I want to make sure I understand what that reference, is that hyperscale or top 10 or all data centers? Just want to make sure I understand what that 15% number means.
Kyle Lorentzen: It would be our data center business.
Simon Leopold: So that's not hyperscale. Can you give us a sense of what is the hyperscale...
Kyle Lorentzen: Yes it is.
Simon Leopold: Oh, it is.
Kyle Lorentzen: That all-inclusive.
Simon Leopold: Sorry, I'm slow today. So that includes enterprise data center and the cloud?
Kyle Lorentzen: Correct.
Simon Leopold: Are you able to break out what's...
Kyle Lorentzen: No, we're not going to break that out.
Simon Leopold: Okay. Thank you.
Operator: Our next question comes from Matt Niknam from Deutsche Bank. Your line is open.
Matt Niknam: Hi guys, thanks for taking the question. Two, if I could. First on inventory digestion. If you could just help us think about where there are maybe more sizable buildup of inventory still remaining. So it sounds like CCS and OWN last quarter were maybe were kind of nearing past some of that, but it sounds like there's more of that still on the common RUCKUS and ANS. So just wondering if you can help us think through where you see some bigger buildup of inventory. And then maybe on a somewhat related note, on the RUCKUS business, can you talk to any sort of macro headwinds you're seeing there in terms of that impacting customer decision-making? Thank you.
Kyle Lorentzen: I'll take off the first part of it, and then Chuck can take the second part. Ultimately -- I just have the question again, just so I can make sure I answer it properly.
Matt Niknam: Where, I guess, across the surviving segments, where do you see bigger inventory buildup that still need...
Kyle Lorentzen: I got it. I was just the question on the CCS. So I think as we've talked about, the ANS segment is a place that we have the inventory buildup. We definitely have built some in RUCKUS. So I think as we said in the prepared remarks, ANS and RUCKUS are sort of the two places that we have the inventory. And clearly, as we've talked about as the -- as sort of that recovery pushes out our ability to monetize that inventory becomes a little bit pushed out as well. So I think we feel like there's still some good opportunity there. But as those businesses sort of lag in the recovery, our ability to monetize just -- it just gets pushed out based on what we're seeing, that probably -- we're not going to make any sizeable move on that until 2025.
Chuck Treadway: And just to give you a little more clarification in terms of the customer leverage. I would say the higher inventory is in ANS -- with ANS cable operators. I think that's where we're seeing some push out in terms of when they're doing the needing to buy more because they had more than they needed, and they have to install that and then get that caught up. And that's -- we're expecting the second half to be better than the first. On the RUCKUS side, we actually see the inventory in our channel actually normalized, and we think we're on the right track there in terms of orders going to match what's really needed in the marketplace. In terms of headwinds, I would say, customers in the market, what's going on now, I believe there's good momentum. I think customers are starting to get excited about our Wi-Fi 7, our RUCKUS One product and our vertical market -- go-to-market approach. So we're seeing orders pick up. I'm not seeing any macro headwinds at this point.
Matt Niknam: Thank you.
Operator: Thank you. Our next question comes from Simon Leopold from Raymond James. Your line is open.
Simon Leopold: Thanks for letting me back in. Got dropped there. I wanted to ask a broader question around the amplifier opportunity within ANS. There are a couple of things you had mentioned here. One is the development of a unified platform. If we can get a sense of the timing of a unified FDX ESD platform? And then I know this is an opportunity that seems like it's split out in time, but could you maybe help size how you see that over the long term as a revenue opportunity for specifically amplifiers for CommScope?
Chuck Treadway: Yes. So on the unified DOCSIS, we're working with the leading silicon provider there of that product. And we, I'd say, are close to having a product. We're looking for the show -- at the time of the show to have something, but we're working well together with the technology teams the silicon providers and our customers to develop that product that allows customers to either use FDX or 1.8 ESD. In terms of amplifiers, we're getting very good feedback from the major players in that space, whether it's an FDX amplifier or an ESD amplifier. And you can imagine how many amplifiers they have in the field. And as they move to change that, we'll be the player there.
Simon Leopold: Thank you.
Operator: Thank you. This concludes our question-and-answer session. I would now like to turn it back to Chuck for closing remarks.
Chuck Treadway: Yes. Thank you for your time today. I appreciate your interest in CommScope, and have a great rest of your week. Thank you.
Operator: Thank you for your participation in today's conference. This does conclude the program. You may now disconnect.